Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of BNP Paribas Second Quarter 2021 Results. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas IR website, invest.bnpparibas.com. [Operator Instructions] I will now hand over to Mr. Lars Machenil, Group Chief Financial Officer. Sir, please go ahead.
Lars Machenil: Thank you, operator. Fine ladies and gentlemen, good afternoon, morning or evening depending on where you are. But independent of where you are, you must have seen a very good Q2 results. And in the usual way, I'll take you through the first 2 chapters of the results presentation before handing it over to you for Q&A. So in the second quarter 2021, we have seen a progressive easing of restriction, combined with adaptive responses to the public health situation that continue to be more accommodating towards the economy. As a result, business activity moved solidly back on track, albeit with a differentiated momentum from one region, sector or business to another. Against this backdrop, the BNP Paribas Group demonstrated yet again the strength of its diversified model as well as its growth potential beyond the rebound that basically has already occurred. As you know, 2020 has been a very specific year given the pandemic. BNP Paribas showed the resilience of its model and delivered very good results in that context. But comparing our 2021 performances with 2020 does not fully illustrate our potential for growth. So in this presentation today, we will be more challenging and make comparisons with 2019, the year before the pandemic. In doing so, you will observe that we not only found back the prepandemic figures, but are above them as our platforms for growth are steaming ahead. Moving to the presentation now, focusing on the key messages first. So if you can turn to Slide 3. On the back of its strong, diversified and integrated model, the Group delivered a strong financial performance in the second quarter with revenues up respectively 0.9% over the same quarter last year and 4.9% on 2019. So the revenues are basically driving growth. In particular, Domestic Markets performed very well with a 9.5% hike in revenues, while CIB saw continued higher revenues following an exceptional second quarter 2020. IFS is catching up, but not yet firing on all cylinders. If we look at costs, on the other hand, they improved by respectively 2.3% on the second quarter 2020 and 3.5% on 2019. As a result, with no surprise, I would say, the Group operated with positive jaws in the second quarter, while its gross operating income increased by 6.2% compared to the second quarter 2020 and by 21.5% versus 2019. Next to that there is the cost of risk. It stood at a low level of 38 basis points over loans outstanding. And this, without any overall release of Stage 1 and Stage 2 provisions. As such, cost of risk is below the 45 to 55 basis points indicated earlier this year. Hence, mechanically, a very steep rise in operating income, up 31% on the second quarter and 20% on 2019. Finally, if you look at the net income, it came in at EUR 2.9 billion, sharply up from the same quarter last year and the year before. Not wanting to brag, but it also turns out to be the biggest and the highest quarterly net income on record for the Group. While we are on the topic of historical comparison, the revenue generated in the first half 2021 was also the highest on record for the Group. Turning now to the CET1 ratio. It clocked in at 12.9% in the second quarter. I just want to say that the TRIM exercise is now finalized and behind us and basically nothing is in front of us. So this is the rhythm at which we are. Now with respect to the distribution to shareholders. Given our solid 2020 results and following the recent ECB announcement last Friday, the Board of Directors has launched the second step of the 2020 return to shareholders. In doing so, it proposes a cash dividend of EUR 1.55 per share, and this to a shareholders meeting to be held on September 24 to be paid on September 30. Doing so raises the payout ratio on 2020 results to 50%, so 5-0, in accordance with our distribution policy. As such, it is without question an ordinary cash dividend. If we now go to the next slide, 4, which provides a summary of where the Group stands on its trajectory. And as the year 2020 is a bit exceptional, we mentioned we compare 2019, 2020, 2021, and this over the first 6 months, and this for several levers of the P&L. As you can see, the Group has delivered a strong performance on a quarterly basis, as well on a half year basis, as you see on this slide. Also, you can see that we have outperformed 2019 on all fronts. As such, the Group has clearly demonstrated its potential for growth beyond the rebound to 2019 levels. It also shows total preparedness to capture growth. As a matter of fact, as you can see, the first half '21 net income is EUR 300 million above the first half of 2019. It is the potential for growth that materialized in the first half. Indeed, the performance over and above 2019 stems from the potential for growth embarked for the near future over and above the effect of the rebound. This net income increment is structural in nature and a factual reflection of the strengthening of the Group's franchises, in particular, in CIB and the specialized businesses. It is also a reflection of operational efficiencies achieved on the back of the transformation plan as reflected in the improved cost-to-income ratio. So in a nutshell, on the back of the health crisis, our financial trajectory has essentially only been postponed by 1 year, and the Group has not deviated from its long-term course. So results are on a path similar to what 2020 would have been without the pandemic. And with this, you can turn to Slide 6, you can see that the total exceptional items of the second quarter entailed an overall positive impact on the bottom line, stemming mainly from the capital gains arising from the sale of part of the Allfunds' shares. But if you look over 6 months, the overall exceptionals, including the Single Resolution Fund are negligible. If you now swipe to Slide 7, you can see the performance of the Group in the second quarter accompanied by positive jaws. As you can see from this slide, the financial performance has improved year-over-year on all fronts from the revenue line all the way down to net income. More importantly, this has also been the case when comparing to the second quarter 2019. Hence, to echo the comments made earlier with respect to the half year results on Slide 4, it is clear that our current trajectory has already gone past the rebound to precrisis levels and that we have entered a new phase of growth. Furthermore, to date, the Group has delivered an annualized return on tangible equity of 10.6%, a level above our cost of equity. If we now look at the key elements and if we start with revenues, Slide 8, that increased by 0.9% group level. Now if we look at the businesses. Domestic Markets, they were up sharply on the back of a rebound in the networks, in particular, at French Retail Banking, and a solid growth in specialized businesses. Let's zoom in on, for example, Arval. You will notice that they are up compared also to 2019. If we look at IFS, they were slightly up on a like-for-like basis, driven by a strong increase in Asset Management business lines and the growth in the top line at BancWest and Personal Finance. The division saw, as it's called, International Financial Services, saw an unfavorable base effect for insurance and basically driven or impacted by the negative exchange rate effect, the fact that IFS has to be transferred in euros. Moreover, there was an unfavorable base effect for insurance despite the positive underlying performance and a more challenging environment for the networks on Europe-Med. So if we look at that, it's a good performance, but it is clear that IFS is not yet firing on all its cylinders. Lastly, we turn to the third one, CIB. We saw a very good level of revenues after the exceptional performance in 2020, driven by the diversification of business lines and the strength of the platforms. And thus, [ it was ] strongly up compared to 2019. If you can now flick to Slide 9, you see costs were down 2.3% at group level. Rapidly, if we look at the domains, Domestic Market saw a 2.3% increase, mainly in connection with the growth in specialized businesses, while costs in the networks remained flat. IFS costs were up 2.6% year-on-year with the recovery in business activity. Finally, CIB saw a significant drop in cost due to the high base last year stemming from the exceptional level of activity. If we now look at the cost of risk, and if you advance to Slide 10, you can see, as I mentioned, that it stood at a low level of 38 basis points of loans outstanding, at the level some EUR 634 million lower than in the same quarter last year. And this is mainly due to a low level in the impairment of nonperforming loans, so-called Stage 3 provisions. Besides, it's noteworthy that this low cost of risk was achieved with globally no release of provisions of performing loans, the so-called Stages 1 and 2. Finally, at 40 basis points of loans outstanding year-to-date, so over the first 6 months, the Group's cost of risk stands comfortably below the 45 to 55 basis points range that I indicated earlier this year. If we now turn to Slide 13, on the financial structure, you can see that our common equity Tier 1 was up 10 basis points compared to the first quarter at 12.9%. The 20 basis points increment stemming from the second quarter results, after taking into account a 50% payout ratio, was partially offset by a negative 10 basis points impact relating to risk models updating and regulation, of which the impact of TRIM, which is now finalized. And there is -- as I mentioned earlier, there is nothing ahead of us. Our leverage ratio stood at 4.0%. It is noteworthy that we have opted for -- we have not opted for the temporary exclusion related to deposits with the Eurosystem central banks authorized by the ECB on June 21, while the Group's immediately available liquidity reserve totaled EUR 488 billion at the end of the second quarter. I cannot -- well, I don't know what to say about this whopping amount. It is almost EUR 0.5 trillion. And what else can I say? That a big part of it should be redeployed for lending going forward. So the evolution of all of these ratios goes to confirm the very solid financial structure of BNP Paribas. And if with this, if you turn to Slide 14, you can see that our net book value per share stood at EUR 85.4 at the end of June and at EUR 76.3 per share, the tangible net book value, and it was up 6.3% compared to a year ago. Actually, since 2008, it has grown at a compounded annual growth rate of 7%, just highlighting our continued value creation through the cycle -- well, the cycles. So if we now turn to the distribution policy on Slide 15. As indicated earlier, the Board proposes a EUR 1.55 cash dividend to a shareholders' meeting to be held on September 24. Including the EUR 1.11 per share cash dividend already paid in May, the Group will have delivered a EUR 2.66 per share cash dividend by the end of September, in line with the distribution policy set out in the 2016-2020 strategic plan consisting in a 50% payout. While the Group's net income has been the most resilient amongst Eurozone banks, so will be its related dividend payment. Going forward, the Group will review its distribution policy together with the closing of its 2021 full year accounts, in particular as part of the preparation of its '25 strategic plan. Hence, the new distribution policy will be announced together with the '21 full year results early February. While early February, it's actually February 8. So see you and hear you then. Taking into account the strong profitability and financial standing of the Group, you could expect to see that the payout ratio will be moving upward and might contain a share buyback component. So if with this, we turn to our ambitious policy of engagement with society, which you can see as of 17. I believe you are well aware of the Group's long-lasting commitments towards the fight against global warming. As such, BNP Paribas was one of the first signatories of the Net-Zero Banking Alliance. Through this initiative, the Group is committed to aligning its greenhouse gas emissions to its financing activities through -- to the trajectory required to achieve carbon neutrality by 2050. You can see in this slide the concrete steps the bank has taken. If with this, we turn to Slide 18. As you also know, the Group's commitments towards the protection of biodiversity are equally strong. Hence, 3 years after joining the act4nature initiative, the Group has stepped up its commitments, including by evaluating corporate clients along a series of biodiversity criteria by 2025, again, with very concrete actions. So with this, we have reviewed the Group, and I would now kindly ask you to advance to the results by division that I'll synthesize for each of the 3. So if I start with Domestic Markets, which basically you can peruse Slide 20 to 24. But on the synthesis slide, you can see that Domestic Markets saw a sustained business drive this quarter with a positive year-over-year evolution in loans, plus 4%; deposits, plus 7%; and even more markedly in off-balance sheet savings at plus 15.5%. With the rebound in economic activity, the division also saw a marked pickup in its transaction banking volumes across customer segments. This was evidenced in particularly to the rise in the number of incoming and outgoing payments for corporates as well as volumes of card payments, in particular, in French and Belgian Retail Banking. The movement was also positive in Private Banking with close to EUR 3 billion of net inflows this quarter. Besides, Domestic Markets saw an acceleration of digital users with just shy of 5 million daily connections to digital apps on average, up 25% year-on-year. So this is also one of the elements that supported the bank to deliver strongly in this confined period. When we look at the P&L, revenues were up sharply, as I said earlier, by almost 10% compared to a year ago. Revenues were up in all 3 retail networks, especially in French Retail Banking with 12.7% evolution, driven mainly by a steep rise in fees, a common theme across the 3 networks. Even though low interest rates continue to weigh, the contribution of specialized subsidiaries, combined with higher loan volumes, have resulted in a positive evolution of the net interest income of the 3 retail networks taken as a whole. The specialized businesses of Domestic Markets also saw a sharp increase in revenues, in particular, at Arval with an over 25% rise in revenues this quarter and also Nickel and Leasing Solutions. Costs were up 2.3% year-on-year with a stable evolution in the networks, while the specialized businesses saw an increase in connection with their business growth. As already mentioned, Domestic Markets operated with very positive jaws this quarter. As a result, gross operating income was up 23% year-on-year. And finally, cost of risk, as you saw, clocked in at a low level of 26 basis points. Hence, pretax income came in at EUR 1.2 billion this quarter, marking a steep 39% rise on last year. When comparing also to the second quarter, it was up 9.5%, which goes to show the progress made by the division beyond a mere rebound to precrisis levels. To wrap up, Domestic Markets saw an increased level of activity this quarter, very positive jaws and a steep rise in pretax income. If we now go to the second domain, IFS, Slide 25 to 31. And you see that International Financial Services witnessed an overall strong business drive, with business recovery in Personal Finance, sustained business drive in International Retail Networks and a very good performance in savings and Asset Management. Zooming in on the business momentum this quarter, new loan production in Personal Finance evolved very positively with the easing of public health measures, but which, as you know, occurred later than expected. Even if the stock of loans is yet to recover its precrisis level due to the lower production in 2020, the momentum in new loan production is strong. This is evidenced, for example, by the June '21 monthly loan production surpassing that of June 2019. Besides, International Retail Networks saw a good momentum in fees as well as an ongoing rebound in loan production. Lastly, asset gathering businesses saw good net asset inflows as well as favorable performance effect. Insurance saw strong underlying activity, and real estate services continued to recover from a low base a year ago. If we now look at the P&L, IFS revenues stood at EUR 3.95 billion, a tad lower than in the second quarter 2020, taking into account an unfavorable ForEx effect. On a like-for-like basis, revenues were a tad higher. And looking at the contribution of the various components, what do we see? First, revenues in Personal Finance were up 1.3% year-on-year, driven by higher volumes and a stepped-up new loan production. Second, revenues at constant scope and exchange rates in International Retail Networks saw contrasted evolution. On the one hand, they were down 13.7% in Europe-Mediterranean, due to a decrease in net interest income in particularly in Turkey and Poland, partly offset by the positive evolution in fees. On the other hand, they were up 2% at BancWest on the back of higher margin and fees, increase in deposits and loan production. Third, moving to asset gathering businesses. Insurance revenues were down 7% year-on-year due to a high base effect last year despite a robust underlying performance in savings and protection. Lastly, Wealth and Asset Management saw revenues jump up 22% compared to the same quarter a year ago, thanks in particular to the effect of strong net asset inflows, a positive performance effect in Asset Management and Wealth and a rebound in real estate services. If we turn to costs, they were up 2.6%, driven by the rebound in activity and ongoing investments for growth of projects. Pretax income, up 20% year-on-year or 21% on a like-for-like basis on the back of a sharp decrease in cost of risk. To wrap up the second domain, IFS, saw a good level of results this quarter with an improved net income on the back of the drop in cost of risk. That being said, you can see that there is still an impact of the health crisis on some of the entities with the pickup still to be materialized. If with this, we turn to the third division, Slides 32 to 35, Corporate and Institutional Banking, which saw another strong quarter across all its businesses. It is really a tribute to the success of our client-centric approach, which is combined with successful leading platforms that can deliver a broad and diversified range of products and services and this in an integrated way. In the long run, it creates growth and a nurturing balancing effect on the revenues. I'll let you have a look at the graph on the right-hand side of this Slide 32. We have not found a better illustration of how successful the model is and the strategy that we have been implementing for years. You clearly see the yearly stepping stones. If we start with the financing space. New business origination was particularly active in equity issuance, while we witnessed a normalization in volumes raised in debt market. As such, Corporate Banking improved its market share in equity capital markets, while consolidating its leadership in debt. Loans were down 8% due to the normalization of volumes following the spike in utilization in the first half 2020. On the other hand, behavior stemming from the health crisis drove deposits up 7% year-on-year, with this trend seen reversing in the last 3 quarters. If we turn to Global Markets, saw a strong activity in equity derivatives and prime services, while activity was generally normalized at high levels in absolute terms, in rates, ForEx and credit. Even though primary bond issuance was down this quarter on an exceptionally high last year, global bond volumes reached a level still 15%, 1-5, higher than the quarterly average in '19 and '20. Moreover, and in connection with the agreement with Deutsche Bank in Prime Brokerage, the transfer of clients was kicked off with the first batch successfully completed in July. Moreover, our plan to expand our cash equities and derivatives services offering has reached an important milestone with the closing of the acquisition of 100% of Exane in July. Lastly, Securities Services saw an increase in assets under custody and funds under administration on the back of recent major mandate wins in Europe and the U.S. Also with the closing of the acquisition of the depositary bank business of Banco Sabadell, a deal announced last year, which has brought EUR 21 billion of new assets to the business. In addition, transactions remained at a high level compared to last year, up 6% year-over-year. Zooming in on league tables for a moment, CIB reaffirmed its leadership in Europe through its rankings in loans and bonds, while it stepped up its development in the Americas, in particular, in transaction banking and cross-border transactions. Finally, the Group confirmed its leadership in sustainable finance in Europe. And globally, we're the #1 ranking in global sustainable bonds and #3 ranking in global green bonds this quarter. If we now turn to the P&L. Given the exceptionally high base with respect to revenues achieved a year ago, and particularly in FICC, CIB revenues were down 9.9% and up 19.8% compared to the second quarter 2019. And including on a like-for-like basis, a 2.5% increase in Corporate Banking with gains in particular in the Americas and EMEA. A very good level in Global Markets, some EUR 200 million above the average quarterly revenue last year and EUR 0.5 billion above the second quarter 2019. So these are my stepping stones that I showed you in the chart on Page 32. And so it's up 35% compared to the second quarter 2019, even at historical scope and exchange rates. And thirdly, a 5.3% increase in Securities Services, mainly on the back of the strong business growth and higher assets under custody. If we turn to costs of CIB, they were down 8% on the second quarter 2020, due in particular to the high base in 2020 on the back of the exceptional activity levels that we discussed. On top of this, there is a further decrease in cost of risk this quarter. So CIB generated EUR 1.6 billion of pretax income, up 3% on last year and up 55% on 2019. So to wrap up CIB, strong performance in revenues in absolute terms and net income. If we now slide to 37 to have my conclusions on the presentation and then hand it over to you. As key takeaways, I would like you to keep in mind: One, the Group has delivered strong results driven by the strength of its diversified and integrated model with its highest quarterly net income on record, up 26.6% on last year. Second, the Group's trajectory has already moved past the rebound and has already started delivering on its growth potential. Three, the trends for 2021 remain very well oriented with a revenue growth stronger than originally expected; a positive jaws effect and stable costs, excluding the perimeter effect and taxes subject to IFRIC 21; a cost of risk at a low level and below the 45 to 55 basis points range indicated earlier. Four, following the recent ECB announcement, the Group has swiftly undertaken the second step of its 2020 return to shareholders and is proposing a EUR 1.55 cash dividend to a shareholders meeting on September 24 to pay September 30. Fifth, the review distribution policy will be announced upon the presentation of its full year results on February 8. Last but not least, the 2025 strategic plan, paving the way for the Group's future growth, will be presented in the first quarter 2022. Fine ladies, gentlemen, I thank you for your kind attention, I am now very pleased to take your questions.
Operator: [Operator Instructions] We have one first question from Mr. Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: Lars, a couple of questions on the retail side to begin with, if I may. So when I look across your retail businesses and the strong fee performance there, I was just wondering how much have you actively been pushing price increases or repricing effects versus just the more kind of normalization of retail activity levels or payment volumes, et cetera, as we come out of lockdown? So how much is you pulling specific levers versus client activity flows? And then specifically drilling down on Arval and the revenue jump there, I'm just wondering, has there been any write-back of vehicle residual values this quarter that's boosting the revenue line that we need to be aware of? Or is that kind of 25%, 26% year-on-year growth more, again, just a base effect from a very depressed 2Q level? So just some detail on the Arval revenue jump, please. Those are my 2 questions.
Lars Machenil: Thank you, Kiri. First, on the retail question. Yes, the increase -- let's not forget on retail, we are not a product-based kind of retail, right? We are a client-centric bank that has a relationship with the client and aims to offer a wide set of products. And these products then typically have more tendency to generate fees than interest income. So that is basically what we do. Now on one hand, why the pickup? So there is, on one hand, a pickup because the activities pick up. There are more transactions going on. And so that's one thing. Secondly, there is also a push that we basically do from products into investments, and that also generates fees. So that's a bit the overall setup, yes. It's our overall focus on fees and being customer-focused, providing several services. There is a pickup in activity. There is a switch into investment products. That is basically all the elements that drive the pickup. And then when it comes to Arval -- well, on Arval, yes, there is a bit of a base effect. But the main thing is, as you might have seen in the plan that they also introduced, they are on a sharp increase that they are doing and that they are pursuing in growth. And so that's basically what they see. Now there is, of course, also the second car vehicles are holding up well, so that is supporting as well. But there is nothing in particular to be focused on.
Operator: Next question is from Madame Lorraine Quoirez from UBS.
Lorraine Quoirez: Just 3 for me, please. The first one would be with regards the top-up dividend you're expecting for the end of September. I just wanted to know what was all the considerations for you to decide to go for a cash dividend over a share buyback? Then the second question would be if you have any comments regarding the recent adoptions by the European Commission of the strategy for financing the transition to a sustainable economy? For example, do you already run internal stress test on climate risk? And if you have any idea on how the ESG will impact your SREP going forward? And finally, could you perhaps give us a little bit of details on how the full acquisition of Exane will impact the P&L?
Lars Machenil: Okay. Thank you, Lorraine. So on the dividend. The dividend is basically -- we orient and we take decisions on dividend over the horizon of our plan. So we make a plan. And at that moment, we basically see what growth can we have, what yield can we have, what return can we have, and therefore, what is the available free capital that we can distribute? And so we had a plan ramping up to 2020, where we basically had the intention of a 50% cash dividend. And so that is why when there was a restriction while we paid in dividend the most we could, and now that the dividend is lifted -- now that the restriction, sorry, is lifted, we basically returned to that. So we basically wanted to do what we said we would do. And that is why when we announced the next plan, so beginning of next year, we will then have another review of what the overall dynamics are, what the overall options is. We will review the overall dividend policy, both in amount and in vehicles by which we will do that. And that is what we will relay to you on February 8. Together, when we present the results, we will also present the key elements of the strategic plan. So that's the dividend. And then when you look at the European Commission, when it comes to CSR. The thing is we are fully aligned on supporting the economy in those elements. And what I mean by that? So we are looking at it to make sure that we embark all of those criteria, and we also want to make sure that basically our clients over time embark those criteria. So that basically means that we are having an evolution of our criteria to underwrite clients, which includes all of these elements. It's -- and again, I'm not saying that they have to be carbon neutral tomorrow, but they have to have a -- can demonstrate that they have a trajectory on what they will do on the aligning with the overall strategy. So that is basically what we are aligned on. We are very active in that area. And so that's basically fine for us. And then on your last question. If you look at Exane, so if your question is what is the top line on a yearly basis? That is, let's say, around EUR 350 million. So that's a bit the overall guidance. Thank you, Lorraine, for your questions.
Operator: Next question is from Mr. Jean-Francois Neuez from Goldman Sachs.
Jean-Francois Neuez: I just wanted to ask a similar question to Lorraine on Exane, but more for the overall portfolio acquired together with Exane and also, in particular, the Deutsche Bank Prime Brokerage business and the ancillary revenues. Now that you are obviously onboarding the bulk of all of the prime balances in the second half, as previously guided, I would have thought that you would have been in a position to give us a more precise outlook, quantitative outlook of what can be expected for your equity franchise in that business. And the second thing I wanted to ask is with regards to net interest income, in particular, in France, there has been a strong rebound quarter-on-quarter, almost EUR 50 million in net interest income. And obviously, it's a strong fluctuation for net interest income, and it's a change in the trend. I understand last year's base was low, but I said Q-on-Q, it's quite a rebound. And I just wanted to try to understand the dynamics there and what's the right base. Obviously, annualized EUR 200 million revenues is not necessarily nothing. So I'd be grateful if you could shed some light with us here.
Lars Machenil: Jean-Francois, thank you for your questions. So if we start on the first one on the outlook. So if you look at the elements, so the outlook of what we see the run rate of Exane, I just shared it on the -- with Lorraine. And so when you look at the prime activity, so we are ramping them up this year, right? So that basically means the full year effect will be well below what you would have normally of the run of the mill. What we've guided for is that having these activities transferred, having these transfer -- those activities leading also to a hollow effecting basically, there are other products that come with it. We basically said that would be in the going concern, would be ramping up towards EUR 400 million. And as I said, the other advantage now that we have all of these activities under one, in the past, it could have been that counterparties used Exane for cash, used BNP Paribas for derivatives and used Deutsche Bank for Prime Brokerage. Now having all that in one organization basically means that instead of 3x KYC every transaction, it is once with the -- to be done. So that is basically what we aim to do and why we aim. We are very pleased with the transfer of the activity of Prime Brokerage from Deutsche Bank. And that is how it basically makes the integrated part on those equity activities. So that's that. If you then -- on your question on France. So yes, on France, if you compare it to a year ago, there is, of course, part of the rebound, yes. There is a rebound because the specialized businesses, which can then be related also to transaction-based activities, which are picking up, that is there. But nevertheless, over and above that, you'll see that the volumes are picking up, that as I mentioned, we are interacting with the customers. So therefore, the services that we provide are ramping up, and those generate more fees. So that's basically it. So if I synthesize it, therefore, yes, there is a part of the rebound. And yes, there is a part of growth. But that basically means that the numbers you see is basically in line going forward in it. So that's basically the 2 answers on equities and on France retail, Jean-Francois.
Operator: Next question is from Ms. -- Madame Phelbe Pace from Societe Generale.
Phelbe Pace: This is Phelbe Pace from SocGen. I hope everyone can hear me well. I have a few actually on deposits because deposit growth has been very strong for BNP year-to-date. If I'm not mistaken, I think you have added over EUR 100 billion of deposits since the beginning of the year. So the first question that I had was whether this high deposit growth was deliberate on your side or it's purely driven by customer behavior. And if you could give us some color market by market as well, it would be quite helpful because I guess the dynamics might differ from one country to another. And then the second question is whether you expect those balances to pull back any time soon. And if so, when? So have you seen, for example, any recent reversal of the deposit dynamics over the past few weeks in 1 of your 3 retail markets? And what's your strategy around that as well? Is there any particular deposit growth rate that you'd see as ideal and that you target in any of your retail markets in the near to medium term? So those are my questions.
Lars Machenil: Thank you for your questions. So as you know, we are client-driven. So we are there to support the clients in their needs for services, for investments, for growth. And so that basically means, yes, at the moment of uncertainty, it can happen that there are extra deposits that are given to the bank that they consider as very trustworthy, very safe. And so that is what we have seen. And of course, we let those clients in, and we help them with all their needs. And what we, of course, see is that the idea is that we are not in the business of stacking up deposits just for the beautiful eyes of the deposits. We are doing it because we can redeploy them. And that's basically what we see. So on the corporate side, basically already since a couple of quarters, we are reducing the deposits because they are basically -- they were being redeployed, being used for working capital and the like. So that's a good trajectory. And then when it comes more in the retail kind of front, there, we are redeploying them into investments. As you know, that is an important part for us. We are aiming to have the structured products that can deliver many aspects, similar to what people are looking for in deposits, and that is the redeployment on investments that we are doing. So that's basically what we have. And as I said, going forward, with the pickup in the economy, we assume that we continue this and even pick up further on the speed. So that's basically where we stand, client-driven. If people come to us because they consider us as a trustworthy bank, we welcome them with open arms, and we are redeploying those deposits, as I mentioned.
Operator: Next question is from Madame Flora Bocahut from Jefferies.
Flora Benhakoun Bocahut: Lars, the first question I wanted to ask you is regarding provisions. You mentioned in the slide pack that you have not yet released any of the provision reserve that you made last year on performing loans. So I wanted to ask you how we should think actually about those reserves. If the recovery continues as is the plan currently, when can we expect to see potentially some reserve releases? And what's preventing you from doing that already? The second question is on the dividend. Obviously, the dividend you announced today on the back of full year '20 is in line with what you had communicated back in February. Initially, if I go further back here in time, you wanted to catch up on the missed dividend payment for the full year '19. Given how resilient the bank has been in 2020, you currently have enough excess capital to do that. Why didn't you decide to also pay at least part of that full year '19 dividend? Is it because you want to keep that capital for another usage? Or is it because you don't think that this would have been allowed by the senior supervisor?
Lars Machenil: Flora, thank you very much. First of all, if we look at the provisions, yes, indeed, last year, we've added cost of risk under the so-called IFRS 9 forward-looking kind of concept. So that means you take counterparties which are doing well, but which under some scenarios could deteriorate. And so that is basically what we have provisioned for. There's like more than EUR 1 billion that we put aside for this. And we didn't touch that at all, yes. And so when will we release it? Well, we -- technically, you release it when you see that there is a demonstratable improvement in the economy. And so to demonstrate that, we will have to demonstrate it to whom? Well, to the auditors -- well, to ourselves, to the auditors, to the supervisors and so forth. And so if you look around, if you read what they say, they are not yet fully convinced that all of this is behind us and that we can release it. So I think those provisions are more likely to be released in 2022 than in 2021. But again, as I said, if you look at the cost of risk, it is very low. It's below the guidance that we gave a year earlier. So that's basically where we stand. We don't intend to use them. I think given the constructions under IFRS 9, it's probably going to be '22. When -- your question on the dividend, yes, on the dividend, we basically had the intention to have a recurring kind of set of dividends. And so that is what we've done on 2020. And give us now the time to work out the plan and to basically share with you at the beginning of 2022. Basically, February 8, we give an update on how we will structurally adapt the payout both in amount and secondly, also, in instruments. So I'll see you back on February 8, Flora.
Operator: Next question is from Mr. Matthew Clark from Mediobanca.
Jonathan Matthew Clark: A couple of questions on retail revenues again, please. Firstly, on the French Retail net interest income and the increase in the second quarter compared to the first quarter, I see that you've changed your assumptions on TLTRO hurdles and now assume that you will meet both the first year and the second year, or benefit from the first year and the second year, favorable interest rates. Whereas, at the start of the year, you were only assuming 1 year of favorable interest rate. So I just wondered what period you are recognizing that second favorable interest rate benefit over, and whether that's already benefited net interest income in the second quarter this year. And then my second question is on fees in Belgium. They've been growing at a double-digit pace for a couple of years now. I just wanted to know if there's some more granular detail you can give us on what products are driving that very strong revenue growth in Belgium and therefore, how sustainable it might be?
Lars Machenil: Matthew, thank you for your questions. So if we look in France on the net interest income, let me -- basically, the TLTRO, it doesn't drive. As I mentioned, the TLTRO for us is part of our overall funding. And as it is secured funding, I ask you to compete with me on other secured funding. So that is not something that impacts. If you look at the impact and the evolution in France, it is on one hand, a step-up in the activities with the rebound in the activity that I mentioned, both on transactions, on corporate transactions, on all of those elements. And it's also part of the subsidiaries which are in there, which are related to trade and cash management. That also picked up and that reflect that increase. So that's basically what it is. And we find a rhythm, which is the rhythm at which we will continue. And then when you look at BDDB, yes, Belgium is -- has a continuous, very strong activity that is ongoing. And yes, it's year after year. But it's a country that -- if I can say, that has larger ports than some major large countries in Europe. And so that means that there's a lot of import and export activity happening, which translates in all the other activities that you see within the bank. So there is nothing particular to mention except that it is a very strong performance.
Jonathan Matthew Clark: So in Belgium, is it more on the corporate side than the individual customers side that's been driving that fee strength then?
Lars Machenil: Yes. So the thing is, as you know, it's all of those aspects that go together. So the Private Banking side is picking up. And let's not forget also, if you look at the levers that they have, there are also a lot of savings that are happening. So that's all of the aspects. So it is, yes, corporate related to what I just said, but it's also Private Banking as a consequence of that and the effect of savings that I mentioned also on the other Domestic Markets. So Matthew, that would be my 2 answers.
Operator: Next question is from Madame Delphine Lee from JPMorgan.
Delphine Lee: Lars, so just a few questions from me. First of all, if we could start with your revenue guidance for the full year. You mentioned that you -- its revenue growth is now stronger than expected. Are you just saying this because first half was already up 5%? Or I mean is there any -- are you becoming more optimistic as well on the second half outlook? And if so, which businesses are you more, let's say, enthusiastic about? Secondly, on French Retail, just to come back to an earlier question. Is it possible -- because NII was particularly resilient, so I just wanted to get a bit more color on this about how the volume's going on the corporate side. There seems to be some kind of slowdown a little bit in recent months in terms of volumes. And are you seeing an increased pressure on mortgage margins because of competition? And also if you could give us the TLTRO contribution, if -- the amount and the contribution for this quarter, if that's possible. And my last question is going back on your comments on buybacks. I mean it's not the first time you've talked about this. You mentioned this for full year '20 dividend and also in the past. And it looks like it's going to be a component of your new plan, but we never seem to see those amounts. So I was just wondering if that is supposed to be a very small portion of your capital distribution and dividends should be really considered as most of it? I'm just trying to get a feel of how you're thinking about the proportion between dividends and buybacks.
Lars Machenil: Delphine, thank you for your questions. If I look -- first, if I start rapidly, BDDF, so French Retail Banking, so the up and down that we see is basically what I mentioned before. The extra color I can give, so it was basically down from '19 to '20, and it's basically up for the same amount from '20 to '21. So it's just coming back to that normal side. And it's -- so on the other elements that you asked, and specifically in France, so the TLTRO, as I mentioned, for us, it's marginal, yes. If I have secured funding with TLTRO or secured funding with the market, that doesn't make much of a difference. And there is no particular pressure on margins that I observe in France. Then with respect to the revenue guidance. And let's be very clear, it's an orientation, right? I'm not guiding you on a number, just saying what I observe and what I see. And so it is true that if you look at our results, the pickup in activity is stronger than what basically we've guided for at the beginning of the year. So the rhythm is higher, and we anticipate that, that rhythm would continue. And if I talk about that rhythm in bottom line, it was EUR 300 million more in the first half of the year. And well, one could assume that this rhythm will continue. So that's basically it. And so where do we see it? Well, we see it -- that in Domestic Markets, given all our digital aspects, the majority of the people could continue their transactions. So if they wanted to do a payment, if they wanted to have a mortgage, if they wanted to have a product or whatever, they basically could get it from there. The same is true for CIB. We saw both the corporates, strong demand; we saw on Securities Services, strong demand. So that's all what we see, and we remain confident on the rebound of PF and the like. So that's basically why we believe that the revenues could pick up over the year, first half of the year and second half of the year above what we've guided for. Then when it comes to the elements. Yes, so on February 8, we come back with a proposal on -- not with proposal, with an approach that we will use. And that's basically it. And so that is what we're working out, and that is what we see and how we can see how that works in our new plan, how that works in the process to have it smoothly going. And so just I see you back on February 8. So on February 8, just -- I mean yes, it's the day when we present the results on '21, yes. And so there, we also present the elements of the plan going forward. And so I cannot exclude that what we proposed going forward will also apply to '21. So I see you all back February 8. Hopefully, in Paris -- I mean, hopefully, physically. Delphine, the -- those were my answers.
Operator: Next question is from Madame Azzurra Guelfi from Citi.
Azzurra Guelfi: I have a couple of questions. One is when we look at French Retail on the press, we have seen that you have been active in small transaction and that there could be some more to come. Can you elaborate on what is the rationale for doing this small bolt-on? It's mostly for customer services. It's because acquiring -- like missing capabilities like you did with Compte-Nickel or things like that? The other one is when we look at Wealth Management, they continue to grow very nicely. And this is an area that is capital light. Can you elaborate on what could be key criteria to consider any external growth there? And if I may, just a quick question on ESG. Different banks have different governance of the ESG risk and strategy, what do you think is the best model? Is it like yours that goes down division by division? And what are the advantage of this model practically?
Lars Machenil: Azzurra, thank you for your questions. If I look at -- so your first question is on what we announced earlier this week where we basically have a deal call with FLOA, which is basically focused on payments and personal finance activities. And as I mentioned, that's a bit what we do. We look at if there are start-ups that have interesting elements, that if they combine with the interesting elements that we deliver that form a strong base. So when, for example, they have experiences in how to do the payment and so forth and how to integrate that into the distribution channel, we can basically bring the skills that are basically going to take this European-wide. So it made a lot of sense for us to do so. And that is things that we have done in the past. We have done that in the past with, for example, Nickel and with other things. So we basically keep our eyes open. And if we see that there are things where we can combine the start-up activity with the strength of -- that we have, we bring that together. We can make that work very well without having any constraints, and that is what we will continue to do. So we're very happy with this announcement. Then on external growth on Wealth Management. Well, it is a bit the same thing. As always, on external growth, it is rather in an opportunistic way. So it's not external growth wherever and whatever and at whatever price. It is things that can make things stronger in activities where we are. So that can be in countries where we are active, where we already have strong activities related to and where we can further strengthen this. So that's basically it. It's part of our overall approach. But listen, I will have the name on a Friday, and I will tell you on a Monday. That's basically how it goes. And then when it comes to ESG. Yes, ESG is an important thing, and these things are evolving. I think I told you last time when we published the Q1 results that you have this COP26, which is happening in Glasgow later this year, and where basically as it is in the U.K., they are making that bridge between things that are happening in Europe and things that, well, didn't necessarily happen in the U.S. under the previous administration, but are now trying to pick up. And so that are things where it's interesting to see. And you are right, you have different stances. Like, if you take our stance, it is to make sure that we have all these elements embedded in the bank and that we make sure that we can stress test them and that, therefore, we can also ask our clients to get on to that road, which is a bit different from what you see on the other side of the Atlantic, where it is focused on making the bank itself completely compliant. So there are different stances. I have the impression, and from that point of view, I don't remember if I told that last time, but that's why I see that basically the COP26 can be really pivotal in advancing and further aligning all the efforts because this time, maybe contrary to some others like when there is Basel rules that come out to be global, but are kind of a little bit different on each side of the Atlantic when it comes to these kind of things, while you have an interest of having it really global, otherwise, it doesn't really work. So these things are approaching. The things are gravitating towards one. And I think COP26 in Glasgow later this year will be an important point. So Azzurra, that would be my answers. Anyone else? Anyone else still there? Operator? Operator? I don't know if...
Operator: Do you hear me?
Lars Machenil: Yes, I can hear you, operator.
Operator: Yes. Right. Could I pass the -- to the next question?
Lars Machenil: Yes, please do so.
Operator: Yes. Okay. The next question comes from Jacques-Henri Gaulard from Kepler Cheuvreux.
Jacques-Henri Gaulard: Just 3 quick ones. I'm sorry to come back to the dividend '19 and the catch-up mentioned by Flora in her initial question. But what it sounds like is that you decided to distribute less in the short term to be able to distribute more on a 5-year view, so that basically, you can build the capital level whereby you're happy to probably distribute more than you would have previously. Is that the right way to look at it? The second point, in light of all this capital you have now, very clearly, is it even worth reapproaching the BancWest issue? Whereby, I remember last quarter, you said that you were watching the situation of consolidation in the U.S. very carefully. But I mean in reality, it's a really nice success story, which is a good diversification asset, and you don't actually need to sell it to do some nice capital returns. So what is your feeling about BancWest? Should we consider it core or not really? And lastly, thank you very much for the indication you gave on the Exane and Prime Brokerage. If I understand well, sorry, it's old age, and I think I didn't hear properly, on a full year based on a 12-month view, the Prime Brokerage would bring EUR 400 million of revenues and Exane would bring EUR 300 million. Can we have any idea about what would be the marginal cost savings you would be able to generate out of integrating all those activities? You mentioned the KYC. And if we could have just an idea about the impact of Exane on the CET1, if any.
Lars Machenil: Jacques-Henri, thank you for your questions. So no, on the dividend, there is nothing complex about it. What we aim to do is just take a look during our plan what on the long run the overall return is and how we can structure it. So that is what we're doing. We will make sure that we have a total approach which works. And particularly, if you have a mix of cash and buybacks, you have to make sure that all that is ironed out well to make it happen in a coherent way. And so that is what we will announce, I cannot say it again, write it all down, February 8, 2022. And on your BancWest story, listen, man, I told you that I am a happy camper on Bank of the West. Yes, I'm a happy camper with the lady. She is managing that. She is managing the living daylights out of it. They're doing well. I don't know last time where you've been, but California is on a good trajectory. Like, everybody is vaccinated for 70%. There is a pickup in everybody. Every time I call them, they just tell me they went to [ a -- Terrace ], they went to Disneyland and what have you. So we are a happy camper with BancWest. Yes, yes, I can imagine. And then on the details for equity, so yes, the numbers that you said, that's what we said. And when you look at the overall orientation that we said, is that the cost income, when you look at Prime Brokerage, for example, will be aligned with the rest of Global Markets. That's basically what it will deliver. So Jacques-Henri, that will be my 3 answers.
Operator: Next question is from Mr. Pierre Chedeville from CIC.
Pierre Chedeville: Lars, one question regarding net inflows in Asset Management business, which are -- which were quite strong this quarter. And I wanted to know whether they come from third-parties, clients or from captive networks. Can you give us a little bit information on that? And also regarding the exceptional performance fees you mentioned, could you give us an idea regarding the exceptional? Is it twice the normal level? 3x the normal level of the average level of performance fees during the last, let's say, 3 years? Regarding real estate, you also mentioned a rebound and particularly in France. And I remember that last quarter, the rebound was in U.K., I think, something like that. Could you tell us how far are we from, once again, the normal level, average normal level of revenues around EUR 1 billion in normal times? Are we far from this level today? And another question on BancWest. It seems to me that the new administration was very critical regarding M&A of regional banks, saying that it was increasing prices for customers. Have you noticed this movement in prices at the level of BancWest? And do you fear that it could, at the end of the day, impede new M&A, which it seems to -- which seems to be contemplated by the new administration?
Lars Machenil: Thank you, Pierre. If you look on your questions, on the first one, the net inflow that we see, it is mainly driven by Domestic Markets. Then when you look at the revenues on real estate, so yes, it has rebounded, but it is still picking up going forward. And then on Bank of the West reason, I already told it. So we have setup in a state that is doing very well with a lady that is managing that superbly. So yes, the Biden Administration is a bit looking at things. The Biden Administration is looking at the Fed. The Biden Administration is looking at many things. But as I said, for us, we're happy with the activities that they're going. And of course, we're opening -- we're keeping our eyes open on whatever has happened around that. But for us, we're just delivering smooth on that business. So that will be my answers, Pierre.
Operator: Next question is from Mr. Omar Fall from Barclays.
Omar Fall: Lars, just 2 questions for me. So firstly, just trying to understand your comment on the potential increase in the payouts. So you made like a 10.5% ROTE in the first half. Second half is usually seasonally lower. So net-net, you're unlikely to be much higher than the 10% average ROTE you were making pretty consistently before the pandemic. Then after Basel IV, you're probably not in a major position of excess capital versus, say, a 12% CET1, certainly not compared to your major European peers. So what exactly is the justification for raising the payout ratio versus what it was for a very long time, precrisis? Is it just the prospect of lower balance sheet growth, less large-scale acquisitions? I know you're going to tell me to ask at the strategy update, but you did mention it. So I think it's only fair. Then secondly, thanks for the clarification on the cost base at Deutsche and the Exane revenues. But on Exane, if I'm not mistaken, I think they made something like EUR 20 million of net profit last year and maybe peaked at EUR 30-something million previously. So it's not very much in the Group context. Are there some intracompany elements there that would disappear in BNP's hands and make it a bit more profitable, something to do with the partners? Just some color there would be useful.
Lars Machenil: Thank you, Omar, for your questions. So on the payout, so what we are doing in our plan is that we basically see that we have been strengthening materially -- partly during the crisis, we have been strengthening our platforms. So the platforms and equity that we talked about, but also the industrialization and the digitalization effort that has been going on. So that means that going forward, we anticipate to have a growth that is at marginal cost. And on top of that, we don't have to accumulate further capital. So that is the elements that we want to take into account. So growth at marginal cost, the situation where we are and no evolutions in regulation and the like. So all of that, we take into account and that should make us have a review of the payout going forward. And that's -- so that's on the payout. And when you look at Exane. Yes, the thing is one of the elements is that by having Exane integrated, so physically integrated, they're just sitting here 300 meters down the road from where I'm sitting. So they're sitting on the same platform together with all the other guys. And so the strength is coming that when you come to BNP Paribas on "equities," you have one person that can then basically interact and bring all of those skills and everything that is related to it. So it is simpler in interacting, it's simpler in KYC, it's simpler in all of the AML-related activities. So from that point of view, that's what makes -- and that's a bit BNP Paribas, right? It's a diversified but integrated approach. And that's basically what we are now also doing on the equity part. So Omar, that would be my 2 answers.
Operator: Next question is from Mr. Stefan Stalmann from Autonomous Research.
Stefan-Michael Stalmann: Lars, I wanted to follow up on some of the M&A topics, please. Continuing on Exane. Are you planning to merge the Exane legal entity into BNP as part of this integration? And more broadly, you're now making a couple of acquisitions and disposals, Exane, FLOA, Hello bank! in Austria. Can you maybe at least guide for the cumulative impact on -- of these deals on your capital ratio? I assume it's relatively small in aggregate, but I would be curious about your guidance here. And maybe finally, there's quite a clustering of deals now on both the buy and the sell side, if you will. Is it just random? Or has anything changed maybe in your appetite to do deals or maybe in the availability of deals by sellers?
Lars Machenil: Stefan, thank you for your questions. Well, the thing is, if you look at -- on your question, if you look at Exane and, in general, will we move it into one structure? That are things that we are looking at. Does it make sense? Does it not make sense? It's like a bit what we are like looking at on other activities. Sometimes it makes sense to even have them in one entity. So it's some of the things that we keep on scrutinizing. I have a team that is basically looking at all of the structures that we have and see how they can be optimized. So we keep a close eye on that. And then if you talk about FLOA [ and ] Austria, yes, there are several things on that. So we keep on optimizing somewhat. It's as I mentioned, when we have an activity, one activity in one country, and we are not able to basically get things around that, then we might stop at it. Yes, that's why we basically, in the end, went out of India. That's in the end, why we went out of that island in -- far away in the Pacific called -- our bank on Hawaii. And that is in the end also why we went out of the activities of Hello bank! in Austria because it was kind of the only activity that we had. And then on the other hand, indeed, if we can have start-ups that basically help us accelerate in another domain like what we had with Nickel or now what we have with FLOA, that's the kind of things that we do. At this stage, when we start them up, the impact on the capital is very few -- very small, so it's kind of a few -- a handful of basis points. So that's basically where we stand. And we'll see how that evolves, and that evolves with basically all the other elements. But it is important for us that basically we can start early and have a head start on these activities. And then when it comes to your clustering question on M&A. Listen, these are the things -- typically, as you know, we are not interested in buying a large retail branch kind of bank. And so we look rather at bolt-on kind of things, yes, bolt-on activities that strengthen us. And that's a thing -- these things cannot be planned, yes. That's what I ironically say, I'll know on a Friday and you'll know it on a Monday. So there is a lot of things happening. We see also banks that structure themselves a bit differently. So yes, listen, it's been for years that there have been opportunities. So listen, I expect this to continue. So Stefan, those would be my answers on M&A.
Operator: Next question is from Madame Anke Reingen from RBC.
Anke Reingen: Just some follow-up questions, please. Firstly, on costs. I just wanted to confirm that in spite of the stronger revenue momentum and potentially some business-related [ cost call potentially in the second part. We are looking at the stable cost base for the -- ex the levies. ] And then I just wonder on the liquidity buffer, the EUR 488 billion. I know you said you're hoping for clients to invest more money and for loan growth to kick in. But I mean it's a very large amount. Is there anything you can do in terms of -- I don't know, I guess you have a negative yield on it currently. [ Is there a potential to invest presently to increase the return? ] And then just a numbers question on the tax rates. Given it was a bit higher in the first half, what should we be expecting for the full year and potentially longer term?
Lars Machenil: Anke, thank you for your questions. So yes, on the cost, listen, what we have is in our previous plan, we put in motion a lot of things to basically -- in digitalization leading to cost reductions. On top of that, with the arrival of the new plan, we said we are not going to have one-off costs in order to do the next wave of investments that we have to do because these things apparently come back every single time. And so what we instruct the bank is basically saying, make sure that you have previous savings that finance your next investments that will then finance the next ones and so forth. So that is why we basically say our costs will be stable even if there is a pickup in activity. Of course, the 1 -- the 2 things that we said, I mean the levies that go up materially, that is something we cannot fight and there is -- if there is a perimeter change because we bring on board other activities, that's something else. But for the rest, we basically go into a mode where we basically invest based on the gains of the previous investments. So that is why we say stable costs. And then when it comes to the liquidity. As I mentioned, yes, we are open for business. We take that liquidity and we see how we can guide corporates to redeploy it and also individuals to redeploy it or invest it. And so that's basically what we keep on doing. And yes, it's a lot of money. And yes, it should be even further put to work, but nevertheless, look at our returns. We have very solid returns, so that's basically fine. And it's amongst others because we keep the clients. We keep the client if he has the deposits, and therefore, he stays with us, he brings more business. And that is why we grab market share, that's why we have the returns that we have. And then on taxation. Yes, taxation, sometimes it goes up quarter and down a quarter. And in particularly, on the 6 months, it's a bit higher because of the Single Resolution Fund. Yes, the Single Resolution Fund, it's insult over injury, if I can say. So it's a taxation. Yes, that will end in 2023, I agree. But it's a taxation or a tax that is not tax exempt, if I express myself. And so that's basically what you see in the tax rate. But we continue to guide clearly for the full year that we will be at, let's say, 20 -- hovering around 28% tax rate as we normally had intended. So Anke, those would be my 3 answers.
Operator: Next question is from Madame Giulia Aurora Miotto from Morgan Stanley.
Giulia Miotto: Lars, a couple of questions from me as well, please. The first one is on Personal Finance. I think you said that it's catching up, but not yet firing on all cylinders. So by when do you think we are going to see positive operating jaws here? And in particular, I was a bit surprised by costs up 9% versus revenues up only 1%. Will this type of trend change over the next quarters? So that's on Personal Finance. Secondly, on deposits, I want to go back to a question asked earlier. So I hear you when you say that, of course, you welcome any sort of, well, deposits from clients that also bring some good business attached. But what are you seeing quarter-to-date? I.e., is there any indication that thanks to the reopening, the deposits are finally starting to go down or not really? And then the final question is on buy now pay later, which is a market which is booming globally and growing nicely also in Europe. So what is BNP's stance on this market? And could maybe the flow acquisition be linked to BNP entering or doing more here?
Lars Machenil: Thank you, Giulia, for your questions. Yes -- no, on Personal Finance, indeed, it is impacted by the lockdown that went a bit on longer than anticipated. Now we anticipate that, that lockdown will improve, let's say, after the summer. That is why we continue to pick up and organize and do the investments to accompany that. So that is something that we will see rather towards the end of the year that we should be back to that rhythm before. Then on the corporates -- sorry, on the deposits. Yes, so we -- the effects of what I mentioned, we see it, for example, on the corporate side that the deposits are tapering off, which is normal. So it goes at tad faster than on the individuals that have to be convinced -- or convince themselves that the products that we offer, offer kind of the same or some kind of structure. When it comes to inheritance and the likes, they do deposits. So we feel confident that, that's going to happen. But we already clearly see it on the corporate side. And yes, the buy now pay later initiative, that is one of the reasons why we embarked on the FLOA initiative. So that's why we are proud to announce it. It's proud -- we're proud to have it in France. We're going to -- basically, the idea is to roll that out at the wide European level. So we are very pleased to be active in that domain. So Giulia, that would be my answers.
Operator: We have no other questions, sir. Back to you for the conclusion.
Lars Machenil: Thank you very much. So all of you, ladies and gentlemen, thank you very much for your attention. You've seen that we have historic results on '21, and that is for the first 6 months of '21. And if we look at the full year, we see revenue growth stronger than originally expected. We see positive jaws. We see the cost of risk at a low level, below the 45 to 55 basis points. And so we basically have a flying start for our new plan. I thank you very much, and I wish you an outstanding weekend. Thank you.
Operator: Ladies and gentlemen, this concludes the call of BNP Paribas Second Quarter 2021 Results. Thank you for your participation. You may now disconnect.